Operator: Thank you for standing by and welcome to the AllianceBernstein Second Quarter 2019 Earnings Review. At this time, all participants are in a listen-only mode. After the remarks, there will be a question-and-answer session and I will give you instructions on how to ask questions at that time. As a reminder, this conference is being recorded and will be available for replay for 1 week. I would now like to turn the conference over to the host for this call, the Head of Investor Relations for AB, Ms. Hallie Elsner. Please go ahead.
Hallie Elsner: Thank you, Carol. Good morning, everyone and welcome to our second quarter 2019 earnings review. This conference call is being webcast and accompanied by a slide presentation that’s posted in the Investor Relations section of our website, www.alliancebernstein.com. Seth Bernstein, our President and CEO; John Weisenseel, our CFO; and Jim Gingrich, our COO, will present our results and take questions after our prepared remarks. Some of the information we present today is forward-looking and subject to certain SEC rules and regulations regarding disclosure. So, I would like to point out the Safe Harbor language on Slide 2 of our presentation. You can also find our Safe Harbor language in the MD&A of our second quarter 2019 10-Q which we filed this morning. Under Regulation FD, management may only address questions of a material nature from the investment community in a public forum. So please ask all such questions during this call. Now, I will turn it over to Seth.
Seth Bernstein: Good morning. Thank you for joining us today. Our second results reflect momentum in several areas of our business. Firm-wide active flows were positive $10.2 billion in the second quarter bringing year-to-date active net inflows to $12.3 billion, which translates to a 5.4% active annualized organic growth rate. Flows are driven by the continuing rebound in fixed income, particularly in Asia ex-Japan region and ongoing success of our revitalized active equity platform, which attracted another $1 billion in net new flows during the quarter and in an environment of declining fee rates, AB’s second quarter average fee rate was stable year-on-year and increased slightly sequentially. Now, let’s get into the specifics. Starting with the firm-wide overview on Slide 4, second quarter gross sales $27.3 billion increased 44% year-on-year and 18% sequentially. Total firm-wide net flows were positive $9.5 billion versus net outflows in the prior year period and net inflows of $1.1 billion in the first quarter. Total assets under management of $580.8 billion at quarter end increased 8% year-on-year and 5% sequentially and average AUM was up 4% versus the prior year period and 5% sequentially. Slide 5 shows our quarterly flow trend by channel. Firm-wide net inflows were driven by retail and institutional while private wealth was turned negative. In retail, gross sales of $18.8 billion increased versus both prior periods and net inflows of $5.9 billion compared to outflows in the year ago period and were higher sequentially. In the bottom left chart, you can see the institutional gross sales of $5.5 billion also increased versus both periods and redemptions improved following an elevated first quarter that was the result for a variety of factors in the aftermath of the late 2018 market dislocation. This resulted in institutional net inflows of $4.2 billion. In private wealth, gross sales of $3 billion were flat versus the prior year period, excluding $500 million of sales related to Option Advantage launch. Redemptions increased versus both prior periods due to a single large institutional like outflow and heightened outflows related to tax season, leading to net outflows of $600 million. Now, let’s turn to investment performance beginning on Slide 6. Our near-term fixed income performance has been challenged that we saw some improvement in the 1 year number this quarter. Our percentage of assets outperforming for the 3-year period declined 62% as two large funds, Global High Yield and Global Bond underperformed their category averages for the period. Our global diversified high income approach worked against us this quarter as many of our peers in the category invest in high yield corporates, especially U.S. high yields and have been performing well. Despite the pullback in the percentage of assets outperforming, we continue to have high conviction that being well-diversified produces the best risk adjusted results over time, which you can see in our 5-year track record with 91% of our assets outperforming. In equities, our investment performance was solid with 67% of our assets outperforming for the 1 year, 61% for the 3 year and 83% for the 5 year. Slide 7 and 8 provides more insight of retail fixed income and equity investment performance. The fixed income table on Slide 7 reflects some of the near-term performance challenges I mentioned, but also shows that long-term track records remain compelling. Performance in our income portfolios has been particularly strong. American income is top quartile for the 1 and 5-year periods. European income is top decile for the 1 and 5-year periods and top quartile for the 3-year period. Mortgage income remains top quartile for the 3 and 5-year periods and AB income remains top decile for the 3 and 5-year periods. Moving on to equities on Slide 8, our concentrated growth low vol global core and large cap growth strategies are notable outperformers. In fact, concentrated global and global core each is top decile across time periods. Global low vol is top decile for the 1 and 5-years. Concentrated U.S. growth is top decile for the 1 year and top quartile for the 3 year and large cap growth is top quartile for the 1 and 3-year and top decile for 5 years. These are impressive rankings even as we continue to see some underperformance in our value and emerging market strategies. Let’s move on to our client channels beginning with retail on Slide 9. We are seeing results of years we have spent investing in our retail platform to better serve clients globally with a diverse set of product offering. The outlook for steadier, if not declining rate environment has attracted investors in Asia ex-Japan region back to the fixed income market over the last several months as they search for yield opportunities. The top left chart shows the pickup in industry-wide retail bond fund sales in the region in 2019. This rebound in sales positively affected our overall sales which hit an all-time record for retail and flows in the quarter. Combined, second quarter growth sales of American income portfolio and global high yields amounted to $7.3 billion and brings year-to-date sales to $13 billion more than triple versus the first half of 2018. While the sales pickup in American income and global high yield is notable, the sales only accounted for about 40% of our record quarter. We also saw sales strengthen in other regions during the quarter, including sequential and year-on-year sales growth in EMEA, Japan and U.S. sub-advisory, a year-on-year increase in U.S. retail and a sequential increase in Latin America. What’s more the average fee rate on our gross sales in the quarter is 20% higher than the overall channel average. Net inflows of $5.9 billion were our best in 19 years and brings year-to-date net inflows to $11.2 billion and our sources of flows are diverse, 21 funds attracted net flows of $100 million or more year-to-date with 12 of them fixed income, 8 active equity and 1 multi-asset. We hit a number of milestones during the quarter as well, 80 retail assets under management of $215 billion at quarter end is at an all-time high and more than 50 retail offerings have more than $1 billion in assets under management at quarter end. Now, I will talk about institutional on Slide 10. The years we spent revitalizing our active equity franchise are clearly paying off. The top left chart shows sustained active equity sales success and flow momentum. Active equity gross sales of $2.4 billion represent our eighth straight $1 billion plus equity sales quarter. And our active equity net flows of $1.1 billion were positive for the sixth straight quarter. Our institutional active equity platform of nearly $41 billion at quarter end has increased 23% over the past 18 months, with 86% of that growth occurring organically, thanks to cumulative net inflows of $6.4 billion. Considering the industry-wide contraction, this is particularly impressive. Consultant support is also contributing to the success we are having, 5 firms, 2 global, 3 major U.S national upgraded 8 active equity strategies during the quarter and we continue to see a steady stream of RFP activity. And while we are certainly experiencing abundance of success in equities, it’s important to note that we are also seeing success in other areas, including multi-asset, where a win for our custom alternative solutions from the top tier pension fund and CRS funding contribute 35% of channel sales in the quarter. Our quarter end pipeline of $7.1 billion declined sequentially as fundings increased following a quiet first quarter but is flat compared to this time last year. With more than 50% of our pipeline adds in the quarter coming from active equity strategies, the average fee rate of new adds is more than double the fee rate on the overall channel. As a result, pipeline’s annual fee base exceeds $30 million for the seventh straight quarter. This bodes well for both future revenues and fee rates. Moving to private wealth management on Slide 11, keeping clients invested and comfortable with their diversified allocations through intra quarter volatility continues to payoff and attract new clients. Second quarter growth sales of $3 billion brings our year-to-date sales to $6.3 billion for our best first half excluding Option Advantage in the 11 years. However, flows turned negative with outflows of $600 million. I mentioned earlier, this reversal is largely due to a single large institution like outflow as well as heightened activity related to tax season. Year-to-date net flows were slightly negative at $100 million. Our advice model investment platform continue to resonate with a broader more affluent client base. The average size of new client relationship increased 11% in the first half versus last year and more than a third of our first half growth sales were from new client relationships. We also added another $700 million of commitments to our suite of alternative and focused equity services during the quarter bringing total deployed and committed assets above the $10 billion mark to $10.6 billion at quarter end. That’s the bottom left chart. Our responsible and impact investing portfolio offerings continue to appeal to our clients. Assets in a diversified way of responsible equity and fixed income services totaling $2.2 billion at quarter end, a 68% increase year-over-year. Growing our advisor base remains a top priority for us as well and we remain on track through mid single-digit growth in 2019. I will finish with my overview with the sell side on Slide 12. Bernstein Research continues to face challenges along with many of our peers in the equity trading business as industry volumes remain depressed and the shift towards lower fee electronic persists. Revenues of $106 million were flat year-on-year and up 18% sequentially. However, excluding our April 1 acquisition of Autonomous Research, revenues declined 9% year-on-year driven by lower trading volumes and lower volatility in the U.S. year-on-year that’s the bottom left chart. While disappointing we continue to believe that a differentiated offering will ultimately drive client activity. We have another strong showing in a recent annual independent survey for both U.S. research and trading. Bernstein Research ranked #1 for the 17th straight year in Quality of Analyst Service and had #1 rankings in several other key areas. Our 35th Strategic Decisions Conference was attended by more than 1,100 clients and client meetings increased 4% versus last year. A testament to the value clients see in our differentiated research. We continued building out our offering in Asia with launches in Asia-Pacific healthcare, Indian IT services and emerging China semiconductors and new coverage for Asia coal, power and renewables expected soon. While year-to-date trends in this business are below our expectations we are thoughtfully navigating a tough environment. So, I will close by highlighting some of our second quarter accomplishments on Slide 13. We continue delivering differentiated returns for clients with our diverse products and we further scaled and commercialized our offerings with momentum in equities, a pickup in fixed income and wins across a diverse client base. We remain focus on expense management and executing our relocation to Nashville. I am proud of what we have achieved during the quarter despite the presence of some headwinds. Now, I will turn it over to John to review our financials.
John Weisenseel: Thank you, Seth. Let’s start with the GAAP income statement on Slide 15. Second quarter GAAP net revenues of $858 million increased 2% for the prior year period. Operating income of $184 million decreased 3% and the 20.6% operating margin decreased by 180 basis points. GAAP EPU of $0.54 compared to $0.59 in the second quarter of 2018. As always, I will focus our remarks from here on our adjusted results which remove the effects of certain items that are not considered part of our core operating business. We base our distribution to unit holders our adjusted results, which we provided in addition to and not as substitutes for our GAAP results. Our standard GAAP reporting and a reconciliation of GAAP to adjusted results are in our presentations appendix, press release and Type 2. Our adjusted financial highlights are included on slide 16. Second quarter revenues of 715 million, operating income of 180 million and a margin of 25.1% all decrease year-on-year. We earned and we will distribute to our unit holders $0.56 per unit compared to $0.62 for last year’s second quarter. Lower performance fees combined with higher compensation and G&A expenses primarily drover the weaker results. Revenues operating income and margin all increased from the first quarter primarily due to higher base performance fees. Bernstein Research services revenues which will partly offset by higher compensation and promotion servicing expenses. We delve into these items in more detail on our adjusted income statement on Slide 17. Beginning with revenues, second quarter net revenues of $715 million decreased 1% year-on-year. Second quarter base fees increased 3% from the same prior period due to higher average AUM across the retail and private wealth distribution channels. Compared to the second quarter of 2018, total average AUM increased 4.4%, the portfolio fee rate of 41.4 basis points has been relatively stable both year-on-year and sequentially. Second quarter performance fees of $11 million compared to $35 million in the same prior year period. Of the 24 million decrease 14 million is attributed to performance fees earned from our Financial Services Opportunity Fund 1 or FSOF1 in the second quarter of 2018 and has seen been liquidity with almost all the remaining decrease attributed to lower fees earned on a select absolute alpha equity long short fund. As a reminder, last year’s third quarter performance fees included $35 million related to FSOF1 and real estate equity fund 1 which has since been mostly liquidated. Therefore, we expect this year’s third quarter performance seems to be slightly lower – to be significantly lower than the third quarter of 2018. Second quarter revenues of $106 million for Bernstein Research services were flat year-on-year and include revenues from the Autonomous acquisition, which closed on April 1. Excluding Autonomous, Bernstein Research revenues decreased 9% year-on-year due to lower market volatility and client trading volumes, but increased 7% sequentially for the first quarter to the higher client activity in the U.S. Europe and Asia. Second quarter net distribution expenses increased $4 million year-on-year as a result of higher Asia retail fund sales and U.S. municipal fund sales. Other revenues increased $5 million compared to the same prior period because of higher dividends in interest earned on our broker dealer investments. Interest expense increased $4 million year-on-year due to higher interest paid on broker dealer customer balances resulting from higher interest rates. Moving to adjusted expenses, all-in, our total second quarter operating expenses of $535 million increased 2% year-on-year. For the second quarter, transition costs related to our Nashville corporate headquarters relocation totaled $9 million compared to estimated expense savings of $4 million resulting in a net $5 million reduction in operating income and about a net $0.02 reduction in EPU. Of the net $5 million, approximately $4 million is compensation related and included in the comp ratio of calculation with the remaining $1 million representing increased occupancy costs. For the 2019 6-month year-to-date period, transition costs totaled $16 million compared to estimated expense savings of $7 million resulting in a net $9 million reduction in operating income. Of the net $9 million, approximately $6 million is compensation related and included in the comp ratio calculation with the remaining $3 million representing increased occupancy costs. Total compensation and benefits expense increased 1% year-on-year on higher base salaries, severance and fringe benefits which were partially offset by lower incentive compensation. We accrued compensation at a 49.5% of adjusted net revenues for the second quarter this year the same as the first quarter and versus 48.5% for the second quarter of last year. If our current revenue trend continues, we may accrue compensation at a 48.5% ratio to the second half of this year with the option to adjust accordingly throughout the remainder of the year if market condition is changed as we gained further clarity regarding the compensation requirements for our business and the transition costs related to the corporate headquarters relocation. Second quarter promotion and servicing decreased 2% versus the same prior period due to lower marketing expenses and a 17% sequential increase came from higher expected seasonal T&E and marketing spend for the Annual Bernstein Research Strategic Decisions Conference and Asia Investment Forum. Higher trade execution expenses related to the higher Bernstein Research revenues also contributed to the sequential increase. Second quarter G&A increased 7% year-on-year due to higher occupancy, technology expense and lower foreign exchange translation gains, which were partially offset by lower portfolio servicing fees. Second quarter operating income of $180 million decreased 9% from the prior year as revenues declined slightly, while expenses increased moderately. The 13% sequential increase from the first quarter is due primarily to higher base and performance fees. If we exclude the approximately $7 million of operating income contributed in the second quarter of last year by FSOF1, the fund since liquidated and $5 million of net relocation expenses discussed earlier, so the operating income would have decreased by only 2% versus the second quarter of 2018. Second quarter operating margin of 25.1% decreased 220 basis points year-on-year and increased 100 basis points sequentially, of the 220 basis points year-on-year decline, 80 basis points is attributed to the net relocation expenses, 40 basis points to the FSOF performance fees and the remaining 100 basis points to the higher comp ratio. You may have noticed that our second quarter adjusted EPU was $0.02 higher than our GAAP EPU, while our adjusted operating income was $4 million lower than our GAAP operating income. This is due primarily to the exclusion of the following two items from our adjusted results, which are not part of our core business operations. First, we excluded $3 million in acquisition expenses related to Autonomous Research. Second, we deconsolidated certain seed investments in our adjusted results that we had consolidated for GAAP reporting. Consolidating these investments increased operating income by $7 million, but did not affect net income or EPU. The second quarter effective tax rate for AllianceBernstein L.P. was 5.5% about as expected. Finally, our Nashville corporate headquarters relocation continues to proceed according to plan. We currently anticipate that the largest reduction in EPU during the transition period could be approximately $0.08 in 2019, which is $0.01 higher than our previous estimate. However, we still expect to achieve breakeven or possibly a slight increase in EPU by 2021. In addition, all other components or our guidance remain unchanged and are currently estimated within the range as previously reported for transition costs expected savings over the transition period and the ongoing annual cost savings once the transition period is completed in 2024. And with that Seth Jim and I are pleased to answer your questions.
Operator: [Operator Instructions] Our first question this morning comes from Alex Blostein from Goldman Sachs. Please go ahead.
Alex Blostein: Great thanks hi good morning everybody first question just maybe start with the dynamic around fee rates in the quarter you guys are seeing significant traction on flows on these are higher free flows but the base fee felt a little bit light I am not sure whether just the average in dynamic something else going on so may be flush that out for us a little bit more and as you think on go forward basis given a mix of business and of course you guys are seeing how should we think about the blended fee rate over the coming quarters?
John Weisenseel: Alex it’s John the fee rate for the quarter was actually 41.4 basis points which was up 0.2 basis points from the first quarter and I think it was essentially almost flat versus the prior year so I think we are very pleased as its hung in the way it has been with strength of in the retail sector particularly the high yield instruments and strategies and the continued strength in the active equities is really what’s keeping it either flat or slightly higher I think you know longer term when we think out for the rest of this year I would expect to remain somewhat around the level as currently at and as we look forward into future years as we continue to build out our alternatives platform those are higher fee rate products I think we are positioned to see potential increases going forward in future years.
Alex Blostein: Got it thanks for that and I guess on the business side of things clearly significant turn around in fixed income flows for you guys over the last couple of quarters this quarter in particular can you talk a little bit sustainability of that I know Asia ex-Japan could be fairly lumpy so as you think about the macro conditions today and the kind of the appetite on the ground for consistency of these flows going forward I guess how should we think about that over the near term thanks?
John Weisenseel: I think you are right it is that fixed income business is exposed to Asia and well that is a very positive story over the long haul it does tend to have ups and down for the time being we continue to see that momentum and we will just have to see how that plays that over time. I think the other thing though that is interesting is that we have had some nice results in both the U.S. with AB income and Europe with things like European income all of which are quite positive.
Alex Blostein: Great. Alright, thanks very much for taking the questions.
Operator: Our next question comes from Mike Carrier from BAML. Please go ahead.
Mike Carrier: Hi good morning and thanks for taking the questions. Maybe first question just given the strength in diversification in the flow and then particularly you guys mentioned I think it was 52 products that were over $1 billion be at scale, how should we be thinking about the operating leverage and margins ahead. John, I know you mentioned the comp ratio in the second half heading a bit lower to that, that’s going to help. And then I know this year has been Nashville cost, but even as we think beyond this given the momentum that you are seeing and I think in the past you guys have said if the flows in revenue that we should expect some margin improvement over time?
Seth Bernstein: John?
John Weisenseel: Why don’t I start off and I think Jim may add some comments as well, but again regarding the margin targets we still are targeting 30% and we think we definitely believe it’s achievable. There is a couple of headwinds currently that we have for example for this year. So we are dealing with the real occasion to Nashville and that’s going to continue for couple of more years. We also are dealing with the performance fees where last year we had $195 million of performance fees, $130 million of them were from the two funds that have been liquidated or in the process of being liquidated that I mentioned earlier. And then of course we have the sell side which is the revenues were down year-on-year I think in fact year-to-date excluding Autonomous, they are down about 15%. So we are dealing with these items in the short run and then of course we have the markets that were very much dependent upon as well. So this all factors into obviously when we get to that 30%. We definitely believe we are going to get there just a question of when.
Jim Gingrich: I would just add that we have always talked about the operating leverage to the incremental margin in this business being 45% to 50% and there is no reason that, that doesn’t continue on a go forward basis.
Mike Carrier: Okay, thanks. And maybe the second question just given the strength in the flows particularly on the active side and particularly in the retail relative to what we are seeing in the industry, what do you like attribute driving the strength given the industry backdrop and the performance in some of the products and also how did the fixed income stream is sensing that demand, but is it more a product differentiation, the distribution, is it some challenged competition out there, but just seeing that the magnitude is much different than what we are seeing across the industry?
Seth Bernstein: I think it is different. But Jim, why don’t you go?
Jim Gingrich: Go ahead, Seth.
Seth Bernstein: I think it is different. The performance that we have been generating I think is differentiated, but I also think it’s the relevance of the products that we have designed and have introduced that I think resonate with clients, particularly in equities where our focus and whether it’s large cap growth or a concentrate growth have been very well received and the audience has been broadening in both retail and in the institutional for that matter. So I think that’s been there. I also think that relative to some of our competitors, we are relatively under penetrated. So I think people are interested in seeing our products and are giving us a shot. And we have been delivering. So I don’t know, Jim, do you want to add something?
Jim Gingrich: I think you are right. I mean, we have – if I look at the quarters obviously strength that we saw in the Asia ex-Japan was a big contribution, but that said we were positive in retail in all geographies with particular strength in the U.S. and Japan in addition to Asia ex. So as you just said Seth, I think it is a pretty broad-based positive story that’s happening.
Mike Carrier: Okay. Thanks a lot.
Operator: [Operator Instructions] Our next question comes from Bill Katz from Citi. Please go ahead.
Bill Katz: Okay, thank you. Good morning and thanks for taking my questions. My calculations might be little quick, but as I look at your fee rate in the institutional bucket, it looks like it came down over 1 basis point sequentially, how much of that was due to maybe some particular strength in the first quarter and I guess I am surprised just given your commentary about what’s coming in the door versus what’s going out the door? That was for you to pickup rather than what looks to be a pretty substantial sequential decline?
John Weisenseel: Bill, it’s John. We did move some fixed income mandates which would help bring that rate down somewhat. So, it’s really – it’s the mix of the business. There is nothing specific really we can point to or nothing specifically that we are worried about there. In our other bucket, our fee rates actually have increased which is offsetting, which is seeing an institutional side in keeping the fee rate on the portfolio actually up 0.2 basis points sequentially. What’s going on there is just that as we build out the alternative platforms that’s in that other bucket there, those are higher fee rate by products.
Bill Katz: So just to clarify, John, fixed income is accretive to your institutional bucket as it stands today versus equity and alternatives?
John Weisenseel: Well, it depends upon with which – again, which products we are losing and which we are gaining.
Bill Katz: Okay. Another question on the comp ratio just in terms of your guidance, let me make sure I am just apples-to-apples here, when you say your comp ratio are you including fringe and relocation charges in that and if so, can you bifurcate between those?
John Weisenseel: Yes, they are included. And as I mentioned, the part that will bifurcate is what I mentioned in the comments as far as the part that falls within the comp ratio. So I think I mentioned that in my prepared remarks.
Bill Katz: Okay. And then just one last one, I think I read in the supplement that part of your expense increase was continued payment on Autonomous. I may have missed it in prepared commentary did you quantify the size of that? If not, could you?
John Weisenseel: No. And we will, because there is also – in that bucket there is also other acquisitions, but we do mentioned in terms of the 10-Q in terms of the discount rate that’s being used to discount the payments. And so of course that will the rate that’s being used to accrete it. And the rate being used for that acquisition and again I don’t have it in front of me is in the Q, but it is higher than some of the other acquisitions that was done.
Bill Katz: Okay, thank you.
Operator: And we have no further questions in queue at this time.
Hallie Elsner: Alright. Well, thank you everyone for participating in today’s call. Feel free to contact Investor Relations with any further questions. Great day.